Operator: Good afternoon, ladies and gentlemen, and welcome to the Q4 2022 Crescent Capital BDC, Inc. Earnings Conference Call. [Operator Instructions] This call is being recorded on Thursday, February 23, 2023. I would now like to turn the conference over to Dan McMahon. Please go ahead.
Dan McMahon: Good morning, and welcome to Crescent Capital BDC, Inc.'s fourth quarter and year ended December 31, 2022 earnings conference call. Please note that Crescent Capital BDC, Inc. may be referred to as CCAP, Crescent BDC or the company throughout the call. Before we begin, I'll start with some important reminders. Comments made over the course of this conference call and webcast may contain forward-looking statements and are subject to risks and uncertainties. The company's actual results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in its SEC filings. The company assumes no obligation to update any such forward-looking statements. Please also note that past performance or market information is not a guarantee of future results. During this conference call, we may discuss certain non-GAAP measures as defined by SEC Regulation G, such as adjusted net investment income or NII per share. The company believes that adjusted NII per share provides useful information to investors regarding financial performance because it's one method the company uses to measure its financial condition and results of operations. A reconciliation of adjusted net investment income per share to net investment income per share, the most directly comparable GAAP financial measure can be found in the accompanying slide presentation for this call. In addition, a reconciliation of this measure may also be found in our earnings release. Yesterday, after the market closed, the company issued its earnings press release for the fourth quarter and year ended December 31, 2022, and posted a presentation to the IR Section of its website at www.crescentbdc.com. The presentation should be reviewed in conjunction with the company's Form 10-K filed yesterday with the SEC. As a reminder, this call is being recorded for replay purposes. Speaking on today's call will be CCAP's President and Chief Executive Officer; Jason Breaux; Chief Financial Officer, Gerhard Lombard; and Managing Director, Henry Chung. With that, I'd now like to turn it over to Jason.
Jason Breaux: Thank you, Dan. Good morning, everyone, and thank you for joining our earnings call. We appreciate your continued interest in CCAP. I'll provide some fourth quarter and full year highlights, touch on our current portfolio and positioning and then turn it over to Henry to review our recent activity in more detail. Gerhard will then review our financial performance during the fourth quarter. So let's begin. Please turn to Slide 6, where you'll see a summary of our results. Adjusted net investment income increased 17% to $0.49 per share from $0.42 per share for the quarter ended September 30, 2022. This increase was driven primarily by rising base rates and higher spreads. Total investment income again reached its highest level since inception and recurring yield related investment income continues to grow in both absolute dollars and as a percentage of our total revenue, which Gerhard will provide more color on. On a GAAP basis, fourth quarter net investment income per share was $0.52. The difference relates to a noncash reversal of our capital gains-based incentive fees on net realized and unrealized capital appreciation. As of year-end, this GAAP expense accrual has been fully reversed. Our net asset value per share ended the year at $19.83, down 1.6% as compared to the prior quarter. The decline relates primarily to unrealized losses we took to reflect wider credit spreads in the market as volatility within the leveraged finance and equity markets continued during the fourth quarter. Importantly, we generated net realized gains for the full year 2022, delivering positive realized gains in excess of our losses. Realized gains and losses, we believe, is a more important metric in grading our performance than unrealized gains and losses, which has meaningfully less impact on our longer-term results. In our view, our long-term track record of strong credit performance and NAV stability since inception demonstrates the merits of our proven investment process as we work to deliver attractive results to our shareholders. Please turn to Slides 13 and 14 of the presentation, which highlights certain characteristics of our diversified portfolio. We ended the year with nearly $1.3 billion of investments at fair value across 129 portfolio companies with an average investment size of less than 1% of the total portfolio. Our investment portfolio continues to consist primarily of senior secured first lien and unitranche first lien loans, collectively representing 90% of the portfolio at fair value, up from 89% in the prior quarter. And we remain well diversified across 18 industries and continue to lend almost exclusively to private equity-backed companies with 98% of our debt portfolio in sponsor-backed companies as of year-end. We generally believe that our private equity partners provide operational and financial support to strengthen their portfolio companies for long-term value creation, which is particularly valuable during periods of heightened volatility, like the one we are investing in today. For the fourth quarter, over 99% of our total debt investments at fair value made full scheduled principal and interest payments. Two more credit trends to highlight. Continued strong performance ratings and low nonaccrual levels. Our weighted average portfolio grade of 2.1 was unchanged as compared to the past few quarters, and the percentage of risk rated one and two investments, the highest ratings our portfolio companies can receive accounted for 87% of the portfolio at fair value, down modestly from last quarter. As of year-end, consistent with the prior quarter, we had investments in four portfolio companies on nonaccrual status, representing 2.0% and 1.2% of our total debt investments at cost and fair value, respectively. A few more updates before I turn it over to Henry. First, we are targeting the closing of our announced merger with First Eagle BDC this quarter. A couple of reminders as it relates to the transaction. One, the Boards of Directors of Crescent BDC and First Eagle BDC have each unanimously approved the transaction. And on March 7, First Eagle is conducting a special meeting of its stockholders whereby they will be asked to adopt the agreement and plan a merger. And two, the exchange ratio for the stock component of the merger consideration and the amount of cash from Crescent BDC will be determined by the respective net asset values of Crescent BDC and First Eagle BDC and customary merger adjustments two days prior to closing. We will not be outlining additional details of the transaction on this call today, and we direct any interest investors to the proxy statement that was filed in January. We remain very excited about the acquisition as we believe the combination provides many strategic and financial benefits to the combined company. Next, CBDC Senior Loan Fund, our joint venture was formally dissolved during the fourth quarter after being largely wound down in recent quarters. We redeployed the majority of the proceeds from this monetization activity primarily into directly originated higher spread Crescent private credit opportunities. Finally, for the first quarter of 2023, our Board declared a $0.41 per share quarterly cash dividend, which will be paid on April 17, 2023, to stockholders of record as of March 31, 2023. I'd now like to turn it over to Henry to discuss our Q4 investment activity. Henry?
Henry Chung: Thanks, Jason. Please turn to Slide 15 where we highlight our recent activity. Gross deployment in the fourth quarter was $46 million. As you can see on the left-hand side of the page, over 99% was an existing senior secured first lien and unitranche investments. In total, we closed on five add-on and several revolver and delayed draw fundings with no new portfolio company investments in the quarter. This was by design as we believe it is prudent to prioritize deleveraging in advance of the First Eagle acquisition. That being said, the broader Crescent private credit platform remained active with over $800 million of capital committed to new portfolio investments during the fourth quarter and over $5.5 billion for the full year. The $46 million in gross deployment compares to approximately $71 million in aggregate exits, sales and repayments in the quarter, inclusively a final $8 million liquidating return of capital from our joint venture, which, as Jason noted, is now fully dissolved. Moving to the right-hand side of the page, you'll see that our unitranche first lien investments have continued to become a more prominent percentage of our total portfolio, accounting for 66% of total portfolio fair value at year-end compared to 59% the year prior. Our focus on unitranche opportunities allows us to offer even greater certainty of execution to our private equity sponsors and enables us to enhance our yield opportunity while remaining at the top of the capital stack. This has proven to be a competitive advantage, particularly in the current lending environment. Turning to Slide 16. You can see that the weighted average yield of income producing securities at cost increased meaningfully quarter-over-quarter from 9.5% to 10.8% on the heels of the Federal Reserve's interest rate hikes and is up 330 basis points year-over-year. As of December 31, 99% of our debt investments at fair value were floating rate with a weighted average floor of 80 basis points, which compares to our 72% floating rate liability structure based on debt drawn with no floors. This situates us well to benefit from increases in base rates above our average floors as is the case this quarter with continued growth in our interest income line item. While the higher rate environment is certainly beneficial from an earnings perspective, we are also cognizant of the fact that it is generally correlated with a slower U.S. economy which together can create more stress in the portfolio. Consistent with Crescent's track record of investing through cycles over the past 30-plus years, we believe we have constructed a portfolio that consists of companies that are adequately capitalized to address the current macroeconomic environment and have taken a proactive approach to bolstering liquidity in select situations where it may be warranted. Our credit culture focused on preservation of capital has led to a highly diversified portfolio invested largely in the resilient industries. Jason reviewed several metrics related to our portfolio. A couple more worth highlighting. Using market interest rates at year-end, weighted average interest coverage for the total portfolio was 1.9x. Additionally, the strength of our portfolio continues to benefit from the substantial amount of equity invested in our companies. The weighted average loan-to-value in the portfolio at time of underwriting was approximately 40%, which provides the same margin of safety from both an enterprise value perspective as well as capitalized risk beneath our tranche that is available to support our investments. The health of the portfolio is also demonstrated by the stable weighted average portfolio grade and low nonaccrual rates. Crescent’s track record is successfully managing through multiple economic and market cycles, provides us with significant and relevant experience navigating what could be a challenging environment in 2023 and beyond. With that, I will now turn it over to Gerhard.
Gerhard Lombard: Thanks, Henry, and good morning, everyone. Our adjusted net investment income per share of $0.49 for the fourth quarter of 2022 compares to $0.42 per share for the prior quarter and $0.43 per share for the fourth quarter of 2021. Total investment income of $34.6 million for the fourth quarter, the highest quarterly figure we’ve reported since inception compares to $29 million for the prior quarter, representing an increase of approximately 19%. Importantly, what we consider recurring yield related investment income comprised of interest income, fixed income, amortization and unused fees was up 21% quarter-over-quarter driven by rising base rates. This recurring revenue ultimately accounted for 94% of this quarter’s total investment income, up from 86% in Q4 of 2021. We’ve generated significant investment income in the form of fees, dividends and accelerated amortization of OID from the Alcentra portfolio over close to the last two years having realized 136% of our cost basis with approximately $22 million of unrealized value remaining. That nonrecurring income has now been replaced by recurring yield related income from Crescent’s originated assets. I’d also note that PIK income continues to represent a modest portion of our revenue at approximately 2% of total investment income. Because we’re invested in a largely first lien and unitranche focused portfolio, having largely rotated out of legacy Alcentra names and our broadly-syndicated bank loan joint venture, we expect to generate a high quality of top line revenue, primarily consisting of recurring scheduled interest income. Turning back to this quarter’s earnings. Our GAAP earnings per share or net increase in net assets resulting from operations for the fourth quarter of 2022 was $0.08, which compares to negative $0.08 per share for the prior quarter. Our net investment income outpaced our regular dividend by $0.11 per share, which was offset by net unrealized depreciation on investments of $0.44 per share. Net realized losses were less than $0.05 per share. At December 31, our stockholders’ equity was $613 million, resulting in net asset value per share of $19.83 as compared to $623 million or $20.16 per share last quarter and $652 million or $21.12 per share at December 31, 2021. Net realizations of $26 million in the fourth quarter, coupled with unrealized mark-to-market losses on our investments ultimately led to our total investment portfolio, holding roughly steady at approximate fair value of $1.3 billion as of December 31, 2022, down approximately $30 million quarter-over-quarter. To reiterate Henry’s comments, we prioritize delevering during Q4 in advance of the close of the First Eagle acquisition. We attributed the bulk of the quarter’s NAV decline to widening credit spreads. This dynamic is evidenced by our internal portfolio ratings at the end of the fourth quarter, largely consistent with prior quarters with 87% of the portfolio rated 1 or 2, our highest rating categories. We believe this is an important distinction to highlight for shareholders in a volatile market environment. Now let’s shift to capitalization and liquidity. I’m on Slide 19. As of December 31, we managed our debt-to-equity ratio down to 1.08x from 1.11x at September 30. The weighted average stated interest rate on our total borrowings was 6.23% as of year-end. As you can see on the right-hand side of the slide, we have a low level of debt maturities over the next few years with $150 million maturity related to our 5.95% unsecured notes in July 2023. After that, there are no remaining term maturities until 2026. It’s also worth highlighting that in January, we upsized our SMBC Corporate Revolving Facility by $35 million to $385 million. From a liquidity perspective, as of year-end, we had $225 million of undrawn capacity, subject to leverage, borrowing base and other restrictions and $17 million in cash and cash equivalents. Finally, for the first quarter of 2023, our Board declared a $0.41 per share quarterly cash dividend, which will be paid on April 17, 2023, to stockholders of record as of March 31, 2023. And with that, I’d like to turn it back to Jason for closing remarks.
Jason Breaux: Thanks, Gerhard. We continue to believe that CCAP remains well positioned to navigate the economic and market uncertainty ahead. While we do anticipate further market volatility and the potential for spread widening as the cycle progresses, we feel good about our current portfolio, and we remain very excited about the First Eagle BDC transaction as we further enhance our scale and position. We’d like to thank all of you for your continued support and time today. We’d be happy to take your questions, and please understand that we may be limited in some answers due to the ongoing First Eagle transaction. And with that, operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] The first question comes from Robert Dodd of Raymond James. Please go ahead.
Robert Dodd: Hi guys. I'm going to ask you a question that sort of relates to credit [ph]. You talked about, obviously, you've lowered leverage ahead of that acquisition. Do you expect to be running on a combined basis going forward? Do you expect to be running lower leverage than was the case to present historically? Or is that just a timing? I.e., is your forward leverage range target changing as a result of proposed acquisition?
Jason Breaux: Hey Robert, it's Jason. Thanks for the question. Excuse me. We did intentionally delever a bit here in Q4 in anticipation of the merger. And a big driver of that is that the – if you look back at the historical left grid [ph] balance sheet, they've historically had a bit higher leverage than us. And so on a pro forma combined basis, I think we're going to end up sort of right in the middle of our target leverage range that we publicly stated as kind of 1.1 to 1.4.
Robert Dodd: Got it. Thank you. Another, on your deployments in the quarter, obviously will follow on. I think you said something to the effect of – the portfolio companies have adequate liquidity, and in some cases, it's been addressed or something like that. Were any of the follow-on – was any of the follow-on capital to the portfolio companies to pad out liquidity? Or was it a more normal course of business add-ons or growth or whatever? Can you give us any color around that?
Jason Breaux: Yes. As far as the deployment in Q4, it was all normal course getting drawn on unfunded and existing commitments that we had to our portfolio companies.
Robert Dodd: Got it. And then one more, if I can. The obvious, I mean, how – you gave the interest coverage based on year-end rates. I mean how would the – how are the operating trends doing? 87% in this quarter were raising one or two, so it appears pretty stable. But can you give us any color on how the portfolio companies are actually performing on EBITDA or revenue or anything like that? I mean, what's the – how are things actually trending right now?
Jason Breaux: Sure. I would say broadly speaking, we continue to feel good about the health of the overall portfolio. The companies continue to grow on the top line and the bottom line. We have seen revenue growth outpace EBITDA or cash flow growth, which we would attribute largely to inflationary pressures and higher wages, labor market tightness and the like. But I would say overall, we are pleased with the underlying performance of the portfolio.
Robert Dodd: Thank you.
Jason Breaux: Thanks Robert.
Operator: Thank you. [Operator Instructions] There are no further questions at this time. I will turn the call back to Jason Breaux for closing remarks.
Jason Breaux: Okay. Great. Thank you, operator. Thank you again, everyone for your interest and support of CCAP. We look forward to speaking with you again soon.
Operator: Ladies and gentlemen, this does conclude our conference call for today. We thank you for your participation and ask that you please disconnect your lines.